Operator: Good day, ladies and gentlemen, and welcome to the Dentsply Sirona Second Quarter 2018 Earnings Conference Call. At this time, all phone participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, today's conference may be recorded. I'd now like to introduce your host for today's conference, Mr. John Sweeney, Vice President of Investor Relations. Sir, please go ahead.
John Sweeney - DENTSPLY SIRONA, Inc.: Thank you, Liz, and good morning, everyone. Welcome to our second quarter 2018 earnings conference call. I'd like to remind you that an earnings press release and slide presentation related to this call are available on our website at www.dentsplysirona.com. Before we begin, please take a moment to read the forward-looking statements on our earnings press release and during today's conference call, we will make certain predictive statements that reflect our current views about our future performance and financial results. We base these statements on certain assumptions and expectations of future events that are subject to risks and uncertainties. Our most recent Form 10-K and Form 10-Q lists some of our most important risk factors that could cause actual results to differ from our predictions. And with that, I'll now turn the program over to Don Casey, Chief Executive Officer of Dentsply Sirona.
Don M. Casey - DENTSPLY SIRONA, Inc.: Thanks, John. Good morning, everyone, and thank you for joining us today. Before I talk about specific results, I thought it is important to offer some perspective. We are very disappointed in the results we provided today. We take full accountability for them and we'll outline the steps we are taking today to better position this company for sustainable growth going forward. As we've said in prior calls, there are no quick fixes or magic wands. I've been in the role for coming up on six months, and despite the results presented today, I believe there are many reasons to be optimistic about the dental market globally. The trends and fundamentals remain very attractive. Further, there is no doubt in my mind that the Dentsply Sirona company is well positioned within the industry. We have a truly global footprint, leading positions in many of the important categories with outstanding brands. It is also clear that our structure needs to be changed in light of the current marketplace conditions and our performance over the last two years. To provide some context, Dentsply Sirona was built around 10 very strong dental business units, each responsible for R&D, manufacturing and marketing. This structure has served us well in the past but does not reflect today's customer or competitive marketplace. It led to complexity and does not help us to present one face to the customer, leverage cross-selling opportunities and has significant cost implications, whether it is in the U.S. where we have more than 15 selling organizations in the marketplace or other regions with multiple units, taking multiple approaches to the same customer. We believe that there is one customer group and we need to approach the market that way. When we do, the combined depth and breadth of Dentsply Sirona will allow us to uniquely offer meaningful solutions. The complexity of the organization also manifests itself in the supply chain. We have over 40 manufacturing facilities and 80 distribution sites, which are mostly managed locally. For us to deliver real cost containment and enhanced customer service, we need to organize as one unit and take full advantage of the scale of the organization. There are many opportunities to recognize that we are serving one customer and that we need to operate as one company. In doing so, we should be able to create meaningful competitive advantage. Our global leadership team is undergoing a thorough review of the organization with the goal to deliver a leaner, more customer-focused business that delivers value to our customers and our investors. We expect this review to lead to a significant restructuring of the business. As a result of that, we announced the postponement of our Investor Day. We believe it is essential to take the right amount of time in order to share a full set of conclusions and a durable path to value creation with you. We look forward to sharing those results of the diagnostic with you some time in the fourth quarter. Now on to the quarter. In slide 7, it shows that second quarter 2018 revenues, excluding precious metals, increased by 5.1% and were up 0.9% year-over-year on an internal basis. Our reported revenue reflects positive currency impact of 3.8%. Our adjusted operating margin of 17.4% reflects a 240 basis points decline versus the prior-year quarter. During the quarter, we also took a $1.3 billion impairment charge that Nick will discuss later. The company generated $117 million in operating cash flow during the quarter, which is down 7% as compared to the prior year. Putting this all together, our adjusted earnings per share for the second quarter was $0.60, down 8% compared to $0.65 in the prior year. Turning to slide 8, as you know, we report across two balanced segments; Consumables and Technologies & Equipment. Our Consumables segments accounted for 48% of our revenue for the second quarter and this represents a portfolio of resilient and consistent businesses that continue to do well. Consumable revenue increased 7.6% year-over-year, up 3.3% on an internal basis, with all the business units showing positive internal growth. Our solid Consumable trends were led by a strong performance in the restorative business, which was up mid-single digits. Instruments also showed positive revenue and we saw a margin benefit associated with the consolidation of our production facilities in this area. In addition, we posted solid results in the Rest of the World, where Consumable revenue increased mid-single digits during the quarter. Turning now to slide 9 and the Technology & Equipment business. Revenue in this segment, which accounted for 52% of revenue in the second quarter increased 2.7%, but was actually down 1.1% on an internal basis. In this segment, there are significant headwinds, the largest of the impact of dealer destocking. Year-to-date, the impact is about $34 million, which is almost at the level we had previously expected of $40 million. Working with our dealer partners, we anticipate further dealer inventory destocking to result in an additional $66 million to $76 million for the remainder of the year, for a total of $100 million to $110 million of destocking in 2018. While this has had a major impact on the quarter and the year, we believe it is the right thing to do. A second headwind is in our Imaging business. A combination of the emergence of the value-based segment and increased functionality of lower-priced technologies has put pressure on the business. We are taking action to address these headwinds. They include an aggressive marketing campaign, adding 50 sales reps and revamping our technology pipeline. In CAD/CAM in particular, I'm encouraged by the feedback we're getting from our dealer partners and we seem to be getting traction in the marketplace. And (7:14 – 7:22) ultimately, we believe that innovation is a core tenet to improving the performance in these areas. In Europe, equipment sales declined against a difficult comparison, as last year benefited from sales stemming from the International Dental Show. We also saw a number of positive areas in the segment. Rest of the World equipment sales showed positive growth, reflecting the global relevance and demand for our products. And importantly, our healthcare business, Wellspect, which serves the hydrophilic CIC market showed strong performance up mid-single digits. This is a business that continues to do well from a revenue and growth and profitability perspective. Turning now to the business performance on a regional basis, U.S. revenues increased 2.3% and were up 1.3% on an internal basis. Looking out at the balance of 2018, we expect our U.S. revenues to continue to be pressured, impacted by the elevated level of dealer destocking. EMEA revenues were up 6.2%, driven by the strengthening of the dollar. On an internal basis, revenues declined 1.4%, mainly a function of the timing of IDS sales, which boosted prior-year performance. Rest of World revenues increased 7.1% with internal growth of 4%. Rest of World revenue growth benefited from the building out of our sales and service infrastructure in developing markets. With that, I turn it over to Nick, who will take you through a deeper dive of the financials for the quarter and our outlook for the rest of the year. Nick?
Nick William Alexos - DENTSPLY SIRONA, Inc.: Thank you, Don. If we can all turn to slide 12 of the earnings presentation, it shows non-GAAP revenues excluding precious metals increased by 5.1% in the second quarter and were up 0.9% on an internal basis. On an adjusted basis, excluding precious metal in both periods, second quarter gross profit margin was 56.9%, down 190 basis points. Gross profit margin compression was driven primarily by three factors: unfavorable mix, negative manufacturing variances and adverse pricing particularly in our Imaging business. Total operating expenses as a percentage of sales again on an adjusted basis was 39.5%, up 50 basis points as compared to prior year due to higher marketing expenses and continued investment in R&D. Adjusted non-GAAP operating margin declined to 17.4%, down 240 basis points. The shortfall was driven by the lower gross profit margin and the higher operating expenses as percentages of sales. We continue to make progress on our targeted $100 million cost savings initiatives and we're on track to achieve in excess of $50 million of actual savings this year with the remainder flowing into 2019. These cost savings include initiatives in Europe and in the U.S. such as consolidated distribution centers as well as to some degree manufacturing facilities, which obviously have a longer lead time. We recognize that these savings highlight the offsetting headwinds in the gross margin and operating expense trends that I mentioned. Going forward, we expect to deliver additional savings and margin improvement as we operate at scale. Whether it's procurement, manufacturing, logistics, or other areas of selling, G&A and R&D efficiencies, our teams globally recognize the need for centralizing certain functions and sharing best practices. On capital, we returned $250 million to the shareholders through share repurchases in the quarter. This was consistent with our strategy for using excess cash flow to buy back stock. Q2 adjusted EPS was $0.60, down compared to $0.65 in the prior quarter. EPS includes, as noted -- as will be noted in our 10-Q, a $0.05 favorable benefit from onetime stock compensation adjustment and an OPEB valuation change. Moving on to slide 13, which includes details of our impairment. As part of U.S. GAAP, we are required to do an annual impairment testing on all our goodwill and intangibles, which we perform as part of our Q2 closing. As Don mentioned, in Q2 we took a $1.1 billion impairment charge related to the goodwill of certain of our equipment businesses within our Technology & Equipment segment, and our legacy Orthodontics business within our Consumables segment. In addition, we took $179 million impairment charge on related indefinite-lived intangibles. The Technology & Equipment impairment was driven by lower forecasted revenues and operating margin rates for CAD/CAM and Imaging reporting units. We saw revenue shortfall late in the second quarter and a continued disruption to our traditional growth rate trends from the 2017 change in the distribution agreements with our dealers. These forecasts also reflect increasing competitive pressures as well as recent reduction in inventory levels at our dealers in the U.S. and Europe. As we stated in the past, we value our partnership with both Henry Schein and Patterson. And our teams are working to drive the better performance. The CAD/CAM, Imaging and Treatment Center goodwill impairment valuation were also impacted by an increased risk premium and increased interest rates resulting in a cumulatively higher discount rate. Overall, our projections reflect continued mid-single digit growth rates for the Technology & Equipment business, a lowering of our near-term margins, yet margin improvement over time as we continue to invest in R&D and plans for operational and supply chain savings. In the Consumables segments, we had a $69 million goodwill impairment related to the ongoing competitive pressures in the traditional Orthodontic market. This asset has been closely monitored over the years as noted in our disclosures. And the recent inability to achieve targeted margin improvement necessitated the change in the valuation. This does not change our view of the OraMetrix business, which we acquired earlier this year and is performing quite well. OraMetrix enables us to pivot into faster growing and more profitable market segments in orthodontia. Slide 14 shows our cash flow from operating activities for the second quarter of 2018 was $117 million, down 7% versus prior year. Free cash flow, that is cash flow from operations less capital expenditures, was $71.5 million in the second quarter, down 23%, and capital expenditures in the second quarter of $45.4 million were up $11.7 million or 35% year-over-year. In 2018, capital expenditures are now expected to total $200 million, which is up as compared to the prior-year level and our previous estimate of $140 million to $150 million. The increase in our capital expenditure forecast for 2018 is due to the flow-through of 2017 capital projects into 2018, which were previously not included in our 2018 CapEx forecast. CapEx also includes investments in certain facilities around the world such as Bensheim, Germany; Charlotte, North Carolina; and Mölndal, Sweden. Investments such as the opening of new dental academies and the consolidation of distribution centers support the strategy that Don highlights in clinical education and supply chain management. Importantly, we are now instituting a total company capital review plan as we develop these strategies going forward. One additional initiative we have in place to improve cash flow is a detailed program to lower our inventory levels by $30 million in fiscal 2018. That's internal inventory on our balance sheet. At the end of the second quarter, we continue to hold inventory at higher levels than 2017. Some of this is due to the elevated inventory associated with the creation of our European Consumables hub in Venlo, the Netherlands, as well as other seasonal billings. Now, let's turn to our 2018 guidance. The revenue guidance for 2018 is now $3.95 billion or a 2% constant currency decline over 2017, which is a $250 million reduction in the previous – from the previous revenue guidance. I want to briefly address how the change in our guidance materialized. Starting at our previous $4.2 billion revenue forecast, which we guided in May, the strengthening of the U.S. dollar has reduced our revenues by $100 million. As Don also noted, in July we recognized that our dealers are seeking to significantly reduce their inventory by an additional $60 million to $70 million in 2018 versus the $40 million that we had planned, resulting in a total inventory reduction in 2018 of $100 million to $110 million. Since we realized $34 million of dealer inventory reduction in the first half, this leaves $66 million to $76 million for the second half of this year. The remainder of the revenue reduction of approximately $80 million was caused by a shortfall in the second quarter's results and rest of the year revenue expectations. Most of this adjustment is related to the Technology & Equipment segment. On an adjusted basis, operating income margin was down 240 basis points year-over-year in the second quarter of 2018. Given the reduction in the expected revenue for the second half, our operating income margin guidance is now in the range of 16% to 16.5% for the full year. Depending on the expected timing of the dealer inventory reductions, we could see slightly lower operating margins in Q3 and higher in Q4. The key drivers in the margin decline are manufacturing and distribution cost variances due to the absorption costs of lower sales levels and the high fixed cost nature of our SG&A and R&D. In addition, the margins reflect certain FX transactional rates, pricing, and promotions and onetime operating expenses that we will incur to effect the organizational changes. The shortfall in the second half sales and the significantly larger reduction in dealer equipment inventory were not planned and as yet our cost structure does not reflect the operational savings that we will implement for 2019. As you have seen in the past, with higher second half volume levels our margins can rise materially. Our updated EPS estimate is now $2 to $2.15, down from the previous guidance of $2.55 to $2.65. Given the uncertainty of near-term market trends for us and the plans for the organizational changes, we also chose to increase that guidance range. In terms of the reasons for the guidance reductions, the Q2 shortfall cost us about $0.05 in adjusted EPS, the second half forecast revenue lowered adjusted EPS by approximately $0.35. And in addition, we have about $0.15 reduction due to the higher expected manufacturing variances, increased distribution costs and expenditures needed to initialize our restructuring. We clearly understand the significance of the financial adjustments and are disappointed with our visibility in certain key market trends. Nonetheless, the impacts to our results will allow for a much lower dealer inventory level going into 2019. As we develop our plans, we intend to provide our investors with an update as to the onetime nature of any costs and the longer range view of our growth and margin rates. Our tax rate assumptions for 2018 remains at 22%. It is clear to us that we have not done a good job in managing expectations for 2018. We fully expect that the accuracy of our forecasting will improve and that we'll have a clearer line of sight into our financial performance on a quarterly basis. I agree with Don's comments regarding the quality of our products, clinical education and the capabilities of the entire Dentsply Sirona workforce. Our commitment to our investors is that we will take the necessary actions in order to ensure that we can significantly improve our financial results and achieve higher growth, margins and cash flow. With that, I will now turn the call back over to Don who will wrap up before taking your questions.
Don M. Casey - DENTSPLY SIRONA, Inc.: Thanks, Nick. And if we can turn to slide 17. I mentioned in the opening that we are working through a comprehensive review of the organization that will lead to a significant restructuring program. We look forward to providing details of that program at our Investor Day in the fourth quarter. But have no doubt we are and have been taking steps to improve our performance now. This week we made significant organization changes. We named Walter Petersohn, Chief Commercial Officer. Walter brings a proven track record of performance, global experience and an intimate understanding of our equipment business to this new role. Further, Bill Newell will take on the role of Chief Segment Officer. Bill has led many of our most successful businesses at Dentsply Sirona. We believe creating a single point of contact for our product portfolio and a single commercial leader is an important step in our restructuring. This is part of the process over the last months as a result of the elimination of over 20 senior positions in our efforts to both improve performance and address costs. As we look at building out our plans for the future, we are focused on two priorities: growth and margin enhancement. It is equally important for us to detail how we will deliver these priorities and we will highlight the need for leadership and organizational accountability, simplification and financial transparency. A major priority for us is to restart our growth engine. We have shared the key pillars of our growth strategy with you before and they remain unchanged. They are a combination of innovation, demand creation and expansion into growth areas. Let me provide some details on each of those. Innovation is our life blood and we will invest over $160 million in 2018 in this critical area. We believe that we are starting to see improvement in our pipeline. As an example, the Acuras Conometric Abutment in the implant area. This is a truly novel technology. Looking to the future, our expectation is that Dentsply Sirona will have a very fulsome offering at the IDS show in Cologne in 2019. Our growth is also reliant on improving our go-to-market approach. Our organization needs to do a better job of becoming responsible for our own demand creation. This pillar includes the addition of 50 new reps in our technology business in the U.S. It also involves implementing our one customer approach, focusing on building one-to-one relationships with the dentist. We will also finish a significant sales force effectiveness program in the back half of this year that, so far, is very promising. And we are investing in clinical education, including opening two new state-of-the-art training facilities. One in Bensheim, Germany, another in Charlotte, North Carolina. We are making changes today with urgency in order to improve our growth as quickly as possible. The final area for growth is to continue to drive growth in markets with the highest potential. As you have seen in our results, growth in emerging markets has been a bright spot and this trend we expect to continue. I recently visited Shanghai for our implant congress and was really impressed to see over 1,500 guests all seeking to learn more about our Astra Tech implant system and how to help doctors in the Chinese market. I firmly believe we are sitting on a real growth engine in Asia. In addition to growth, a second priority for improvement is operating margin enhancements. Looking at this company, I see no reason that we should not be able to drive margin back to the levels at the time of the merger. This will require a major simplification effort starting with our supply chain as we've mentioned earlier. We'll move from a locally-managed set of plants and distribution centers to a single supply chain with an emphasis on logistics and inventory managed first. This will also include an evaluation of our manufacturing footprint. We believe that a unified supply chain and a simplified organization should also allow us to take a step change in the effectiveness of our procurement program. Finally, given a large SG&A budget we have, we are implementing a far more disciplined approach with an emphasis on return on investment for all these programs. The priorities of growth and margin expansion are essential. But it's also important that we highlight how we're going to do that. A key area for improvement in our minds is organizational leadership and accountability. For the first time since the merger, Dentsply Sirona has singular leadership. We are rapidly making decisions, investing in the business, making the hard choices that will enable us to compete from a position of strength immediately. These organizational announcements that we made today show our commitment to making the appropriate changes. We have addressed underperformance in many areas. Altogether, we are building a new team that blends performers from the current organization with outside talent. A second area is organizational simplification. As we've said, this involves moving to a single customer model across the globe, mimicking what we have seen be successful in individual countries. Additionally, we have mentioned that we're moving to a single unified supply chain, which we believe stands to yield significant cost benefits. A final area is creating financial transparency. As we will outline on Investor Day and Nick mentioned earlier today, we cannot do this behind a veil. We are committed to financial transparency and look forward to outlining a path to sustainable value creation and top-tier TSR, including metrics in which you can measure our progress. So in conclusion, we are disappointed with our results but I want to reiterate that this team has a sense of urgency about dealing with the issues in the short term and we believe long term that we can create a company that delivers for our customers and our investors. I believe that we will unlock the full potential of a great company in an attractive market in the future. As we transition to our more efficient business model, we intend to continue to deploy capital in a way that is accretive to our shareholders. We look forward to telling you more about that in our Investor Day in the fourth quarter. Thank you, operator, and we will now open the line for questions.
Operator: Our first question comes from the line of Tycho Peterson with JPMorgan. Your line is now open.
Tycho W. Peterson - JPMorgan Securities LLC: Hey. Thanks. Don, I want to start with the strategic review and I'm wondering if you can – it's early days, obviously, but wondering if you can give us just any more color on what that might encompass and get us comfortable with the whole notion that you can cut costs drastically while trying to restart growth and also drive margin improvement.
Don M. Casey - DENTSPLY SIRONA, Inc.: Sure, Tycho. Thanks for the question. It's really early days and I don't want to get too far in front of us in terms of outlining what the complete program looks like. But if you listen to the script, basically we're highlighting two areas. The first is on a commercial basis we think we have a lot of complexity that does not benefit our customer and we've done a pretty thorough assessment of that. We're in the process of a pretty extensive sales force effectiveness program where we think that we have the ingredients in place. We just got to shift the focus to basically begin to talk about total Dentsply Sirona as opposed to individual franchises. And we believe that that's going to have an immediate positive benefit both from the cost structure where we're going to eliminate a lot of duplication but more importantly it's going to let us do the cross-selling that we do. So I think the combination of a more effective selling approach, better messaging, and by the way, we're starting to see some new products come out. We feel pretty good that the pillars we outlined should get the growth engine moving without a major disruption. On a cost basis, there's two issues that we've been really focused on. And, again, I don't want to get too far ahead of myself, but our supply chain is complex. That's the only way I can describe it. It's 40-plus manufacturing facilities, 80-plus distribution facilities that are all pretty much locally managed, and that just does not allow us to create scale in procurement and demand planning and logistics. And we believe that, first, we're going to focus on making sure there's no interruption in customer service, but this is some relatively low-hanging fruit that we should be able to get after. And to be honest, if you think about trying to forecast demand at 80 distribution centers all around the world, that results in complexity that has ramifications in inventory, it has ramifications in cost, and it's just not a good way to do business. So we think we can improve customer service while improving costs by moving to a much more simplified approach in supply chain. The other thing is we kind of go through the organization and again if we move to this kind of one-country formation and if we move to a far more simplified supply chain, we can simplify the organization tremendously. Right now, we've built an infrastructure from a QRA, a finance, a legal perspective to support what is essentially 11 SBUs, and again, we believe by moving to a much more integrated model we have an opportunity to begin to really shift how we operate and we believe that that should be not only more effective but it should be a lot more efficient. So look, there's a lot of moving pieces, Tycho and one of the discussions that we've been having as an internal management team is how do we effect the change at a pace that does not impact our customers but delivers with urgency. And our intent is to spell out exactly what that looks like some time in the fourth quarter complete with the metrics. And we believe that we've got to give you guys a fair amount of metrics, so you can understand the progress that we're making against the program.
Tycho W. Peterson - JPMorgan Securities LLC: Okay. That's helpful. And then I had one follow-up. Nick, I thought I heard you, mid single digit growth for Technology & Equipment going forward. I just want to make sure that that's your expectation, and is that doable for next year? And what's the path to get there? And what does that assume for CAD/CAM? Can that actually grow next year?
Nick William Alexos - DENTSPLY SIRONA, Inc.: Yeah, so I appreciate the question, Tycho. Yes, indeed we still are projecting mid-single digit growth rate beyond 2018. The valuation reflected a lowering or rebasing of that revenue number given some of the changes that we talked about or impacts in 2018 and a lower margin given some of the impacts as well that we noted on pricing and promotions and other expenses. But from here going forward, we're looking at a mid-single digit growth rate as we said. And adding to your first question to Don, obviously, there's a lot of cost initiatives and ways that we believe we can reduce costs. But a high priority is continuing to drive revenue. And there's significant investment to do that, given the fixed cost structure of the business, that's the best way to drive improved margins.
Tycho W. Peterson - JPMorgan Securities LLC: Okay. Thank you.
Operator: Our next question comes from Robert Jones with Goldman Sachs. Your line is now open.
Robert Patrick Jones - Goldman Sachs & Co. LLC: Thanks for the question. Yeah, I guess just wanted to make sure I understood some of the destocking comments, Don, a little bit better. I was hoping maybe you could elaborate on why the dealer inventory, I guess, has turned out to be much higher than the company had thought previously? And I'd be interested in hearing what your impression is kind of looking through the destocking of what the end market demand is? And if I could just add one on top of that, it sounds like it's occurring at multiple dealers. Just wanted to confirm that this is actually something you're seeing beyond just Patterson.
Don M. Casey - DENTSPLY SIRONA, Inc.: Well, first, we are seeing destock – let's break it down a little bit and answer the second question first. We are seeing destocking in both our major partners. That's the first answer. And the second, look, on the destocking, first, it's what our dealers are deciding to do. We're working with them. I think we have some circumstances at one of them where they – a new management team that's come in and assessed where they are from an inventory perspective. And as they look to recast their company – and again, it's better to ask them – they want to carry leaner inventories, not just in Technology & Equipment and not just on Dentsply Sirona stuff, but across the board just so they can deal with how they want to project their future going out. I've had a lot of conversations. Last week, we were able to spend a fair amount of time with both our dealer partners. And the thing that I come away with is in May, we had a lot of conversations with both Schein and Patterson about our commitment to really standing behind the Imaging business and the CAD/CAM business and why we think they will represent growth engines in the future. We retooled the plan in the U.S., included adding some clinical reps to help meet demand. If there is a prospect, we want to be able to get out and talk to that doctor immediately. We put in a very aggressive marketing program. We offer some financing that we're starting to see real traction from. I mean, both Stan Bergman and Mark Walchirk were both very complementary of the impact that that program is starting to have. So again, we're not in control of what the dealers decide they want to stock. We believe that we're starting to see some real traction behind programs we put in place in May and June at the retail level on CAD/CAM and Imaging. So again, some of this is managing how they want to run their companies. But in my mind I walk away very, very impressed with the commitment that they have to really driving demand for both our CAD/CAM and Imaging businesses.
Robert Patrick Jones - Goldman Sachs & Co. LLC: No. I appreciate all that, Don. I guess just the follow-up would be, it looks like you're calling for similar destocking in the back half on a 3Q and 4Q basis than what you saw in 2Q. But given the expectation for revenue to be down 2% for the year, it seems like you are implying underlying growth to worsen beyond just the destocking. Could you maybe just spend a little time talking about what the underlying growth assumption is outside of destocking in the back half?
Nick William Alexos - DENTSPLY SIRONA, Inc.: Yeah, I mean, Bob, it's Nick. So as I laid out, we took about a $250 million reduction in our total revenue, and we note that about $66 million to $76 million of that relates to incremental destocking in the second half. And about $80 million relates to general revenue reductions across the board, mostly in Technology & Equipment. So it's a combination of both factors. Some softness that we're seeing in our general market for Technology & Equipment, as well as the destocking piece.
Robert Patrick Jones - Goldman Sachs & Co. LLC: Got it. Thanks, Nick.
Nick William Alexos - DENTSPLY SIRONA, Inc.: Sure.
Operator: Our next question comes from John Kreger with William Blair. Your line is now open.
John C. Kreger - William Blair & Co. LLC: Hi. Thanks very much. Don, can you maybe just talk a little bit more about where you're seeing the increase in competitive pressures? Which categories? And do you need to maybe rethink the pricing paradigm for some of your higher-end systems? Thanks.
Don M. Casey - DENTSPLY SIRONA, Inc.: Yeah, let's start with Imaging there. It's really interesting. Coming into the category, you get to learn a lot of things. And I walk away tremendously impressed with our technology. The thing that we have to recognize, though, is that what we would think of kind of mid-tier kind of 2D and 3D imaging equipment has really gotten a lot more capable over time, field of view and clarity of image and other things. And where we believe that our highest-end 3D cone beam products are terrific, the functionality of kind of this mid range has really improved to the point where some dentists are willing to sit there and say, hey, I can use this and it costs half as much. So in my mind, it's really what do we need to be doing to innovate to create a real differential advantage that we can go out and leverage. And right now we don't have that. So in my mind, the first thing is we got to recognize that the paradigm is shifting and that we need to be competitive in all parts of the marketplace. And we're not today. And that's got to be a combination of innovation. It's got to be a combination of making sure our costs are in line so that if we do have to compete more aggressively on price that we can do it without a serious margin dilution. So that's the first thing in Imaging. And by the way, this is an effect – it's different things in different parts of the world, whether it's a unique set of competitors in Asia or whether it's U.S.-based competition, which is slightly different. The interesting thing in our mind in the CAD/CAM area, again, if you look back two years or three years ago, we created – well, actually, we created the category 20 years ago. And we continue to be very optimistic about the role chairside dentistry plays and will play in growth. And by the way, we're starting to see competition, but again, we feel really good that our chairside system is far and away the best. And we don't anticipate seeing a tremendous amount of pricing pressure that we'd anticipate there. What we are seeing, though, is the DI category, where you're starting to see a higher prevalence of DI cameras and whether it's competitive cameras or doctors willing to sit there and say, if I'm going to put my toe in the water of digital dentistry and using that, obviously if you move to a simple DI system, that's approximately one-third or even less of what a total chairside system is. So, while we don't necessarily view DI as competitive with chairside, what we are seeing is a rapid expansion of the DI category, which we believe has some impact on the penetration of chairside. Now, ultimately, we believe once dentists begin to walk down the path of DI, they're going to realize that it's a very short walk to being able to do full chairside dentistry and we want to be competitive there. But ultimately, in our mind, it's less a dynamic about pricing on CEREC than it is about how dentists are using different technologies to approach things differently.
John C. Kreger - William Blair & Co. LLC: Great. Thank you. You've outlined some fairly significant adjustments in terms of restructuring, and those don't seem like quick fixes. Do you have a timeline in mind? When do you think you can realign the sales force and at least start to optimize the manufacturing footprint? Thanks.
Don M. Casey - DENTSPLY SIRONA, Inc.: Yeah. John, I don't want to get too far out in front of ourselves. Look, we're in the process of making some pretty significant changes in the sales force now, and how quickly and how thoroughly we're able to do that around the globe is work that we're doing right now. In terms of supply chain, we've already taken a couple steps there in terms of bringing in some talent, particularly in the logistic area that is really going to help us do a better job of understanding what that path may look like. But look, in the standard restructuring, this is not something that's going to take multiple years. We want to be – have a much higher functioning sales force in 2019, and we think we ought to be showing real improvement from an operation and supply chain and kind of the same timing. Now again, we want to start showing improvement. Where we deliver the full benefit of that is obviously going to take some time.
John C. Kreger - William Blair & Co. LLC: Great. Thank you.
Operator: Our next question comes from Brandon Couillard with Jefferies. Your line is now open.
Brandon Couillard - Jefferies LLC: Hey. Good morning. Don, just at a high level, could you sort of talk about the need to have one face with the customer when so much of the business goes through distribution with too many partners? And just remind us today the mix between direct and distribution in the business?
Don M. Casey - DENTSPLY SIRONA, Inc.: Sure. Well, let's start out with there's different models in different places around the world. But let's – I think your question was a little bit more directed to the U.S. and why we say one face to the customer. In our mind, if we're going to have a resto rep, and we've got a lot of restorative reps that go in and call the doctor, why isn't that restorative rep fully capable of understanding what technology and equipment needs this person may have, what implant systems they may be doing or whether or not that particular dentist is doing endodontic procedures. And right now, we don't have that capability. Where we have moved to a different model and we've done that right now in the U.K. and France, Australia and in the process of doing that in Germany, where we've kind of moved to the idea that we should have one face to the customer and that one face should clearly be able to call in specialists when they need to. We think that's a far better way of creating demand and representing the full breadth and depth of what Dentsply Sirona is doing. Now, in places where that's going to involve selling an orthodontia and an endo – some of our endo products or implants, that would run through a direct channel. In the case of, if we do a much better job of building the relationship with a dentist and that manifests itself in improved resto, preventative, or other sales, instrument sales, that'll run through a dealer. But where it runs through is less material to me than what we've seen in other parts of the world where it's important that a one – kind of an ambassador, a key account manager has a great relationship with the dentist and is focusing on what problems we can solve for the dentist. And the results we're seeing in countries that have made that shift justify our strong belief that this is a model that should be applied all around the world. And right now, we've done it in four countries, four of our significant countries, and we look forward to pushing that aggressively around the world. But in my mind again, it's important to represent the Dentsply Sirona depth and breadth to that dentist. Where they actually get the products through is less – is not material to what that relationship needs to look like.
Brandon Couillard - Jefferies LLC: Thanks. Then a two-part question for Nick. First on the destocking and anything you can share with us in terms of your expectations for the mix of that between the third quarter and the fourth quarter in terms of the $66 million to $76 million that's still left for the back half. And then secondly, you talked about you don't want to bring inventories down further in the year. What are you kind of penciling in for operating cash flow at this point for the year?
Nick William Alexos - DENTSPLY SIRONA, Inc.: Yeah, on the first one, Brandon, as I said in the notes, we expected a higher percentage of the destocking will likely occur in Q3. So that'll put a little more margin pressure on Q3 versus Q4. But we fully expect to get through the destocking in this year. On the inventory number, as we said, our inventory had risen during the year. We've put a process in place to reduce that inventory, and we're targeting about $30 million and we expect that in the second half of the year. I don't, off the top of my head, have a cash flow number year-over-year, but we can follow up on that, maybe at the back end of the call.
John Sweeney - DENTSPLY SIRONA, Inc.: Sure. Call you back on that. Yeah.
Brandon Couillard - Jefferies LLC: Thank you.
Operator: Our next question comes from Jeff Johnson with Baird. Your line is now open.
Jeff D. Johnson - Robert W. Baird & Co., Inc.: Thank you. Good morning, guys. Don and Nick both, I guess I want to try to reconcile comments that have been made during the call here. Nick, you're talking about mid-single digit growth in technology -- or technologies and, Don, you're kind of talking about maybe what I think needs to happen and you and I have discussed before kind of this move from CAD/CAM to DI, also talking about maybe some pricing pressure in Imaging and maybe coming out with some lower priced products over time. How do we put 35%, 40% of technologies in those two buckets together with getting back to mid-single digit growth? Is the mid-single digit growth, Nick, more kind of a long-term aspiration? Or do we think we can get there by 2019 even with these two issues potentially having to deal with here in the near term?
Nick William Alexos - DENTSPLY SIRONA, Inc.: Yeah, I would say we don't obviously have a guidance view for 2019, but our expectation is that with the rebasing of the revenue and the dealer destocking that the business will get back to a positive growth rate after the end of this year. But I don't have at this point, Tycho (sic) [Jeff] (44:58), a particular guidance for anything beyond 2018.
Jeff D. Johnson - Robert W. Baird & Co., Inc.: All right. Fair enough. And, Don, I guess one follow-up question just on the restructuring and that you're talking about making -- rapidly making some hard choices here in consolidating those 15 selling organizations down to a smaller number than that. You've added a lot of good dental people, but you've also – a lot of people are gone from Dentsply Sirona here over the past year as well. Where in the organization is there the experience and the depth to kind of guide this big restructuring over the next period of time? Just kind of get us comfortable that the experience and the depth of beyond just you and Nick of the management team is there to really guide such a big process.
Don M. Casey - DENTSPLY SIRONA, Inc.: Yeah. And, Jeff, I think that's a very astute question, and thank you for it. So, look, at this point, there has been a lot of change. And if you look at Nick and I cumulatively here, basically about a year, year plus, that certainly prompts the question. If you look at what we just did, though, and, Jeff, I'm not a 100% sure how familiar you are with some of our management team one level below, with Walter Petersohn we have a 20-year plus vet who's actually served as a CCO before that's got great experience literally all around the world and most recently has been in the U.S. Comes with a deep Technology & Equipment business. Bill Newell is 13 years plus and has actually worked around the world and spent a fair amount of time in almost every one of our franchises. So we think there is a fair amount of experience there. If you go a step below that, literally all around the world, we actually have some pretty good experience in moving to the one customer base. We talk about France, U.K., Germany, Australia, where we have actually done this. And we have a full packet of this is lessons learned, this is how you do it, this is what to watch out for, this is the systems you have to build. So it's going to be a combination of experience that we have and a process that we can follow and do that. And then I can tell you we're not shy about bringing in external help. As we have kind of gone through, as we look through the restructuring, we're bringing significant temporary resources on to help us approach that almost as a project. We were creating a PMO, project management organization, that will have separate resources that will help us synchronize all the moves that we need to make. And the very first question that I think Tycho asked that I think is a valid one. How do we make sure as we're going through a relatively significant change, we keep our eye on the customer and we make sure customer service is front and center, and our ability to create demand is front and center. So we understand it. We believe that we have got a fairly deep bench of a lot of experience around the world that we're calling on. We are blending that with new people. I would like to think that both Nick, myself, we have a new GC -- relatively a new GC and other talent that we're starting to bring in like in the logistic and supply chain area that is going to allow us to blend old and new to create a far more exciting organization.
Nick William Alexos - DENTSPLY SIRONA, Inc.: Hey, Brandon, it's Nick. Just quickly to your question, we are expecting improvement in working capital cash flow in the second half of the year versus last year. I gave you guys the CapEx number both year-to-date and expected for the year, and obviously you've got kind of the view on our targeted operating margin. So hopefully, that backs into the cash flow number for the year. But if you have questions, we can follow up. And then separately, Jeff, I'm sorry I called you Tycho.
Jeff D. Johnson - Robert W. Baird & Co., Inc.: I've been called worse. Thanks, Nick.
Nick William Alexos - DENTSPLY SIRONA, Inc.: All right.
John Sweeney - DENTSPLY SIRONA, Inc.: All right. Next question, please, operator.
Operator: Our next question comes from Steven Valiquette with Barclays. Your line is now open.
Steven J. Valiquette - Barclays Capital, Inc.: Thanks. Good morning, everybody. So you touched on this a little bit but, I guess, I'm still just curious to get more color on the flow and context of the conversations you're having with the distributors. Are they saying to you, hey, there's minimal demand for your products, I just don't need any more supply? Or is more of the conversation distributors are saying to you maybe, hey, I'm trying to be lean and mean, so I don't want to tie up as much capital on my inventory but the demand for your products is relatively unchanged? Just curious if the conversation skews more towards one side of that versus the other. And also just to kind of throw it out there, I mean, when is the phrase destocking really just code for softer demand for your products in the marketplace? Many people and investors are kind of wondering about that as well. Thanks.
Don M. Casey - DENTSPLY SIRONA, Inc.: Yes, Steve, and I would answer -- it's kind of a two-parter but they're obviously very related. Again, we've spend a fair amount of time with our dealers. We spend a ton of time with them in May basically looking at where we were in the total Equipment business. We put a program into place that our conversations, extensive conversation with both of them last week say you're really starting to see traction. I mean, we spent several hours with at team with Henry Schein, great team. We get along very, very well with them and have very frank conversations. They're quite comfortable. And as a matter of fact, in their call yesterday, they talked about how optimistic they are about the movement they're seeing in Technology & Equipment. And look, as they came in, they're coming up on a one-year anniversary of taking on our products. I think that they're beginning to sit there and say they have a pretty good understanding of what demand looks like. They are seeing accelerating demand, but they're looking to optimize what their inventory looks like. The same conversations -- again had a great conversation with Mark Walchirk on Friday and just talking about where we are in terms of demand creation. They're feeling very good that they're seeing good traction in the marketplace following the program and it's far more of an inventory optimization in their mind in terms of as a new leadership team comes in there and assesses how can they opt – after an SAP implementation, how can they optimize their inventory levels. And again, we don't want our dealers with a bloated inventory number. So, again, in my mind, we have a wholesale issue. There are two separate discussions; a wholesale discussion and a retail discussion. We feel good that we're starting to see better traction, particularly in the critical U.S. market, particularly around CAD/CAM right now. We're looking forward to good IDS world that comes in the back half of the year. And again, our conversations with both our dealer partners has been very, very positive about the underlying demand. And again, they're optimizing what they want to do from a cash-flow perspective. So, I don't think in either of the cases this is anything more than how they want to operate.
Steven J. Valiquette - Barclays Capital, Inc.: Okay. All right. That's helpful. Thank you.
Operator: Our next question comes from Steve Beuchaw with Morgan Stanley. Your line is now open.
Steve Beuchaw - Morgan Stanley & Co. LLC: Hi. Good morning and thanks for the time here. I think the questions up to this point are appropriately focused on some important details of the story and some strategic questions. But I think even after all the feedback we got from you guys, it's going to be a little tricky for people to get their head around some of these issues. So I wonder if we could come at the discussion from a couple of different angles. One is, Don, given your experience looking at distribution businesses and at med tech businesses, I wonder if you've thought about what you're doing at Dentsply Sirona in as much as it might be particularly similar, different to other markets or other companies where you've worked? And if you might be able to think about analogies that could help investors to think about what the path might look like. That's my first question. Then I have one follow-up.
Don M. Casey - DENTSPLY SIRONA, Inc.: Well, look, I think there's a lot of examples. And as I look at Dentsply Sirona now, I've had a lot of experience at Johnson & Johnson, I've had a lot of experience at Cardinal Health, and I think you pull from there. I also think there's a tremendous number of examples that I've seen in med tech. And let's review two of the highlights that I think. And let's start with demand creation because I think that's really important. Right now, as you saw in kind of the med supply in the med tech space, as you began to see hospital consolidations, it was no longer in everybody's best interest to try and run 20 different sales forces at a same – at individual hospitals when all of a sudden there was a GPO. So there was a tremendous amount of how do you begin to shift your selling organizations to recognize economic buyers, as well as like clinically-oriented buyers. So I think there's ample examples in the med tech space about how you need to evolve your selling organizations to be reflective of changes in the marketplace, point one. Point two, literally coming out of a distribution company that had a pretty extensive manufacturing footprint, you sit there and you say, boy, having a harmonized supply chain where there is a single point of demand forecasting that then focus into a single logistics chain, that's where you get efficiencies. And the thing that strikes me here most literally in a very, very vivid way, we have local countries that manage their distribution centers. So in a place like Taiwan, we might have two or three distribution centers. And because you have local ownership, there is no synchronization. So you have manufacturing facilities that are literally trying to forecast to 80 points of distribution, which makes it incredibly hard. So I think that the synchronization of that, I can take examples from whether it's Cardinal, whether it's J&J. By the way, you can go look all across med tech where there is, how do we get really smart about distribution, which you create regional hubs that serve smaller front kind of forward DCs, and then from a manufacturing standpoint, how do you basically centralize demand forecasting, and then make strategic make versus buy decisions and then rationalize your footprint. So in terms of the path that what exactly is it going to look like, I think any of these situations are relatively unique. But I would tell you what we're focused on is we have to do two things. First, Nick talked extensively about it. We have a relatively high fixed cost base and that's what we're trying to attack. When we grow, the fixed cost base is not as much of an issue. So we got to get growing. And right now I think we have failed to optimize the potential of Dentsply Sirona because we're approaching it like 10 different individual units as opposed to how do we recognize there's one dental customer and maybe that dental customer is going to be doing a little bit of implants, a little bit of endodontic procedures. But we at Dentsply Sirona really should be able to come in and help them in their totality. And every day that we're not doing that, I think it's a missed opportunity. And then from a supply chain perspective, because we do have a high fixed cost base and the high fixed costs are associated, in my opinion, with a relatively individualized supply chain that needs to change. So I think we're going to get after that.
Nick William Alexos - DENTSPLY SIRONA, Inc.: Steve, the only thing I would add is I think we all recognize and, obviously so does Don, is just how uniquely positive some of the dynamics in the dental industry are versus other segments of healthcare, and I think part of our strategies are to drive toward some of those attributes.
Don M. Casey - DENTSPLY SIRONA, Inc.: Yeah. And just at the total risk of being a corny company CEO, I got to spend a fair amount of time out in the field. And one of our really bright reps down in Galloway, New Jersey, we were calling on one dentist and she was really happy. She was a resto rep and she was really happy, she was seeing one of her biggest dentists. And literally walk into the dentist and it turns out that he's probably one of our biggest single implant users. He's a big Astra user. And we're sitting out in the car talking about this afterwards and sit there and say, did you know he's a big Astra user? She goes, no, not really. That's not my job. My job is to focus on resto. Well, we went back in and had a conversation with the doctor. It turns out not only does the doctor – hadn't connected the fact that his wonderful restoration products were coming from Dentsply Sirona, but the implant products were coming. And he immediately wanted to talk to us now that he recognized it, I want to talk to you about upgrading my imaging program. And then I was able to talk to him right then about CAD/CAM, because, geez, if we're going to do total restorations, let's do it chairside. So I think that kind of underlines the potential of what we have. We just have to get after it. And I don't think heretofore we've had the will to do that here at Dentsply Sirona.
Steve Beuchaw - Morgan Stanley & Co. LLC: Makes a lot of sense. My one follow-up is about capital deployment. I wonder given the confidence in the path on hardware particularly and the new clarity that we have about where we're going on inventory, why we're not hearing a little bit more about share repurchase here. I appreciate that there is an interest in deploying capital to M&A, but this would seem like a historic opportunity to step in and buy the stocks. Can you speak to that point? Thanks.
Nick William Alexos - DENTSPLY SIRONA, Inc.: Yeah, Steve, certainly, we've been, I think, relatively consistent, and I think you've seen that we had an authorization of up to $1 billion to buy stock. Our message has been consistent from the beginning in that we will use excess cash flow to buy stock opportunistically in the market, and we hold to that. Our strategy is not any different than it's been over the last six months, nine months.
Steve Beuchaw - Morgan Stanley & Co. LLC: Thanks, again.
Operator: Our next question comes from Jonathan Block with Stifel. Your line is now open.
Jonathan David Block - Stifel, Nicolaus & Co., Inc.: Thanks and good morning. First one, I'm actually going to pivot away from the U.S. for a moment which clearly has a bunch of moving parts. Just on the previous call there you guys alluded to strengthening momentum in both Rest of World and EMEA, yet EMEA which is 40% of revenue took a step back with internal growth down, I think, it was 1.4%. So can you talk about what is going on with EMEA and how you feel about that growth trajectory going forward? And then I've got a quicker follow-up.
Don M. Casey - DENTSPLY SIRONA, Inc.: Sure, Jonathan. On EMEA, the story is really IDS. I mean, it's the biannual show, and we were up on the comparison year on year with IDS which is what we think the principal thing going there. And it's interesting we just came back from doing kind of a relatively complete regional review. We feel pretty good about most of the trends that we're seeing over there. And Rest of World, again, one of the benefits of coming in with a relatively fresh set of eyes you get to go out and do regional reviews. Particularly, I was there at the -- they capped off a week where we had an Astra implant summit in Shanghai. We were able to track 1,500 dentists and by the way, it was a standing room-only overflow. And you walk away from looking at the developing markets and the real need starting to see accelerated trends for need for dental care in general and we think we're really, really well positioned for that because we operate at scale in all those countries. So we've said literally, I went back – we were reviewing scripts for this call, went back to the first call we made a couple months back, and the first thing we said is we expect Rest of the World to grow. We've been out, really met the leadership teams there and more optimistic about that today than I was six months ago.
Jonathan David Block - Stifel, Nicolaus & Co., Inc.: Okay. I still thought EMEA was supposed to sequentially improve throughout the year, but I'll go back and check my notes. But just to shift on, to the point you just made to a previous question, the sales force, can you talk about if sort of this old XRAY and zero (61:04) approach is the right way and then you want or hope that they work with each other and then sync in with the distributors. Or is there a simplified way where sort of one individual wears two hats and they're able to convey that more unified message and get across your broader portfolio to the end customer? Thanks, guys.
Don M. Casey - DENTSPLY SIRONA, Inc.: Yeah, look, again not getting too far ahead of ourselves, but again, we've actually seen this model work in a couple countries. So we're actually taking a playbook that we've developed in good positive markets, U.K., France, we're in the transition in Germany and Australia. And what that model actually looks like is kind of a key account manager or ambassador that goes in that can basically talk about most of the procedures where we have major products, and then when needed, they call in specialists. So if you're – the example of the dentist I was talking about that is really thinking about upgrading their Technology & Equipment, well, we can bring in a Technology & Equipment rep and really explain the benefits of what that looks like. So it's an ambassador model, a key account model with -- supplemented by specialists and we believe that that has shown real traction in markets outside the U.S. By the way, we think we can do it in other large markets. We can do it in China, Japan. We can do it in the U.S., Canada and other places. So again, it's a model that we do have a playbook. I think the model looks like focusing on the individual dentist, knowing a ton more about that individual dentist, and making sure that we're there to provide solutions for them, because we really have a very, very broad portfolio.
John Sweeney - DENTSPLY SIRONA, Inc.: Final question, I think.
Operator: Our last question comes from the line of Erin Wright with Credit Suisse. Your line is now open.
Erin Wright - Credit Suisse Securities (USA) LLC: Great. Thanks for sneaking me in. In terms of the incremental destocking anticipated for this year, where does that leave you now in terms of distributor inventory level relative to what you had experienced, I guess, historically? Is there some conservatism embedded in those destocked target? And then also going back, I think it was Brandon's question earlier, do you anticipate any sort of fundamental change in the role of third party distribution for you? And can you remind us your commitment there to the third party distributor? Thanks.
Nick William Alexos - DENTSPLY SIRONA, Inc.: Yeah, Erin, it's Nick. Thanks for the question. On the second one, very quickly, as Don said, we are committed to our distributor relationships. We think they work. Obviously, there's been some reordering with the 2017 change in distribution agreements in the U.S. but a lot of dialogue is going to get us to the right place. So there's no expected change there and we certainly think that that's the right way to be. On the first point, we don't have a particular view on the month's inventory by our dealers. We just feel that they have taken the step to reduce it for their own optimization of their balance sheet and we chose to accept that and we've changed our outlook for the year to reflect that. I think it's probably going to be the right level and theoretically their own logistics systems will provide for them to be able to fulfill product as it's demanded but I can't pass judgment on what the right levels are for them. It's just what was communicated to us late last month or earlier last month and we have reflected in our outlook.
Erin Wright - Credit Suisse Securities (USA) LLC: Okay, great. Thank you.
Don M. Casey - DENTSPLY SIRONA, Inc.: Thanks, Erin.
John Sweeney - DENTSPLY SIRONA, Inc.: Thank you very much, everybody. We appreciate you joining us today for our second quarter earnings conference call and we look forward to talking to you during the quarter and on our next call. Have a good day.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program, and you may now disconnect. Everyone, have a great day.